Operator: Ladies and gentlemen, welcome to Comstock's 2022 Second quarter Business Results Webcast. Here is Comstock's Executive Chairman and CEO, Mr. Corrado De Gasperis.
Corrado De Gasperis: Good morning, everyone, and welcome to the Comstock second quarter update. I'll provide a business update, including information in today's press release and from our recently filed second quarter report on Form 10-Q. If you don't have a copy of today's release, you'll find a copy on our website at www.comstock.iInc at the top of the investor page in the Newsroom section. Our Form 10-Q is also available on the website on the Investor page under SEC Filings and also via Edgar on www.sec.gov. Please let me remind you that we will make forward-looking statements on this call and that any statements relating to matters that are not historical facts may constitute forward-looking statements. Our statements are based on our most current expectations and are subject to the same risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are detailed in the previous reports filed by the company with the SEC and in our recent press release and all forward-looking statements made during this call are subject to those same and other risks that we can't identify. Once we've completed the prepared remarks, Zach will accept and direct all questions to me. Let me briefly start with our financial position. Our recently reported assets totaled almost $118 million, up $3 million from the first quarter. Our operating results reflect both the development of our teams and the larger commitment to the research and development dedicated to commercializing our technologies. This represented $3.7 million in R&D for the full 6 months ended June 30 and $2.6 million for the 3 months ended the second quarter. These amounts include the engineering design, fabrication and commissioning of both of our pilot facilities for fuels and for LINICO. Both our balance sheet and our operating results reflect our push to accelerate these commercializations. This quarter has been an extremely busy one for cellulosic. We' advanced our cellulosic tech, our Bioleum pilot system and established a meaningful number of new industry collaborations. We also filed, as most of you saw, our new Bioleum patent, representing a significant expansion of our leading technology portfolio, covering new pathways to produce renewable drop in fuels from woody biomass, all at dramatically improved yield, efficiency and cost in comparison to all known methods. Our new patent covers both processes and compositions that have been validated at our existing pilot facility, proving that we can simultaneously produce multiple bio intermediates that are uniquely isolated and free of contaminants. This means we can produce both cellulosic sugar and Bioleum from the same ton of wood enabling the production of the whole array of major biofuels. Renewable fuels provide one of the single largest opportunities for decarbonization. However, most of the existing U.S. renewable fuel refineries draw from the same limited pool of constrained feedstocks, mainly vegetable oils. Comstock can now fully leverage a fully different and abundant woody feed - woody biomass feedstock. The Department of Energy's National Renewable Energy Lab has published estimates that the U.S. produces up to $100 million tons per year in just sawmill and forestry residuals alone. That initial biomass source is sufficient to produce 8 billion gallons a year of drop in fuels by utilizing our technology. This positions us for staggering growth. Speaking of the Department of Energy, they also recently announced a funding opportunity called FOA [ph] targeting the further development of bio intermediaries that can produce high-yielding and efficient renewable diesel, sustainable aviation fuels and other biofuels. The grant request was a no-brainer for us to test the advancement of our platform. Literally within 2 weeks, we assembled a world-class coalition of industry-leading partners and complementary technologies that would both add to and accelerate our pipeline for producing higher-yielding renewable fuels. We filed our preliminary DOE application early. Within a week of our submission, we received a notice of encouragement from the DOE, and we are now proceeding to prepare and file our application by early September. Grant itself is for $2 million. But the benefits to us have already exceeded those potential dollars, both from the recognition that it's given our technology and the resulting collaborations with new industry partners. Just to be clear, we have the technology today to produce cellulosic ethanol and byproducts profitably. The breakthrough with our Bioleum and the additional pathways proposed in this grant would convert both Bioleum and our cellulosic sugars in the drop in fuels, which resulted in even higher yielding, higher-value fuels from just one feedstock source. Based on current performance data, we're projecting best-in-class renewable fuel yields exceeding 80 gallons per dry ton on a gasoline gallon equivalent basis. We believe our performance is already far better than the best-known processes can deliver today. And with fuels that leverage the existing infrastructure. We're also expanding our current 2 ton per day cellulosic fuel pilot to extend its current capabilities of producing carbon-neutral pulps and cellulosic sugars into the production of Bioleum. This will demonstrate in one place our ability to produce both of these bio intermediaries from just one feedstock and just one process. We've actually just recently returned from a trip to India, where we were inspecting both the enhancements to and the construction in progress of our enhanced biomass pilot. 4So in summary, our plans are to enable a fleet of these advanced carbon neutral extraction and bio refining facilities. Our major near-term objectives for renewable fuels include finalizing various strategic collaborations with a number of industry-leading partners for the development of these advanced drop in fuels our bio intermediaries. Also to complete and announce our first commercial agreement with 1 or 2 or 3 or 4 of these industry-leading partners. We're also going to upgrade and operationize our Bioleum Enhanced demonstration system by mid-2023. And we're going to lead in the filing of this DOE grant application that's due in early September for these additional breakthrough pathways. Our first commercial agreement will clearly demonstrate our capability and potential and prove the long-term value. The industry response to us so far has been nothing short of spectacular. Let me turn now to LINICO and provide you an update there. At LINICO, we've already commissioned and operated our proprietary lithium-ion battery crushing and separating system, and we've successfully crushed charge batteries, which is a huge milestone. And we've produced what we believe is a uniquely pure black mass, another huge milestone. We've also enhanced the design and commenced upgrades on the crushing system with the plan to commission in Nevada once all of our permits are received. We also completed the construction of our bench scale lithium extraction system. And now we have designed and commenced a broad series of lithium extraction test work. We've also received public comments on our Nevada operating permit for our battery metal recycling facility, which we fully responded to, and we are now waiting for the permit to be issued. Our ability to produce a uniquely pure black mass is enabling the development of what we believe will be a efficient lithium extraction process. I'm going to pause on that because we already talked about certain processes for extracting lithium. But when our black mass came out in the form and the substance that it did, it created additional efficiencies that we are now testing in our process. By even the most conservative estimates for increasing EV demand, which seems daily to keep growing, the industry will likely require about 5 times more lithium carbonate than the entire lithium mining industry produces today. The conventional recycling processes that we're seeing deployed suffer from extremely high if not total losses in lithium. We solved this problem by extracting lithium immediately after crushing and separating in a manner that maximizes the recovery for use in batteries. It's also extremely efficient. When we commissioned our first commercial prototype, the 5 ton per day system, we identified a number of meaningful opportunities for improvement that we are now making and that we're also modifying our existing air quality permit to reflect. We expect to file the air quality permit this month, a few months later than originally planned to accommodate the changes we are making in the crushing system. Our major near-term objectives for LINICO include completing the designs and upgrades of the enhanced. the now enhanced crushing and separating system, receiving our written determination for the Nevada recycling facility, most likely during the fourth quarter, revising and fitting our modified air quality permit for the enhanced system again this quarter with expectations for approval in Q2 of 2023 and completing the validation of our lithium extraction test work and process definition by the fourth quarter of this year. We really look forward to commissioning the system in Nevada, followed by lithium extraction as soon as all these permits are received. LINICO is uniquely positioned with differentiated and valuable technology that is highly efficient and scalable, in an industry that continues to grow faster and faster as the whole world electrifies. Our internal ability to design, engineer, manufacture and commission these systems is different than our competitors. And we felt the benefit of having that internal capability over the last 2 or 3 months, being able to learn from the first pilot, respond quickly to opportunities for improvement, redesign and move forward. This establishes an incredibly long-term value proposition for us, and it's just enormous. Let me wrap up my prepared comments with a few corporate items. Very happy to report. It looks like we're finally closing on the Daney Ranch. The gross sales price was $2.7 million with 200k in cash already received and another 1.5 million expected this month with another 1 million to follow. It's a great deal and a great value for us We're also seeing a tremendous amount of activity in and around Silver Springs, including Redwood's recent announcement that it's investing $3.5 billion in a cathode and anode production facility right next door to the expanding Google complex, all only about 8 minutes from the opportunities on fund properties in Silver Springs. Switch has also started construction on a second mega data complex. -- on a campus that's planning for 17 of these data centers, only 12 minutes from Silver Springs literally just past the Google and Redwood developments. Much more importantly, the opportunity zone fund is completing diligence and agreements now with major companies and investors keen on capitalizing on these development opportunities, and this will most likely result now in about $18 million, excuse me, $18 million of additional proceeds to Comstock that when coupled with the Daney sale, we'll put in excess of $20 million in sales proceeds to us over the next 3 or 4 months. It's very, very gratifying to see Silver Springs coming together and so positively benefiting the Comps -- we are also evaluating specific strategic opportunities for our mining assets that we believe will unlock tremendous value. Preparations for this are ongoing through the remainder of this quarter, with some announcements expected in the fourth quarter. Our SK 1300 report is now actually drafted with a new resource estimate for Dayton finally being completed and also planned for publication in the fourth quarter. So just in summary, our priorities are on accelerating the commercialization of renewable fuels and renewable battery metals. We have a clear pathway - we have clear pathways on these solutions, and they re maturing nicely right in front of us. But we do understand that these developments are major and they take time. The industry, however, has taken no and we are now engaged on a daily basis, expanding and solidifying these strategic relationships. The DOE recognition is wonderful, but please understand that we're on a commercialization pathway regardless of the DOE and look forward to showcasing our pilot facilities and our ability to make carbon neutral - ops - sugars [ph] bioleum and biofuels. as well as highly pure black mass, lithium and recycled battery metals. We're building a company with enormous long-term value for our shareholders. We are doing it foundationally, methodically sustainable. So that's the end of my prepared remarks. Zach, let's just stop there, and we can turn to questions.
A - Zach Spencer: Corrado, you answered a lot of the questions that have been asked so far in your presentation. Here is a question that wasn't addressed in your presentation. Are you pursuing new lithium deposits?
Corrado De Gasperis: Thank you for the question. We are not pursuing new lithium deposits in the terms of mining claims. It's probably not worth mentioning, I'll do it anyway. We're a company that's now founded on extraction technology. The technologies that we use to extract sugars and bioleum from woody biomass feedstock, similar in many respects to the technology we're using to extract lithium from black mass. And we also have complementary technology that we believe ultimately would be very efficient in extracting lithium from certain materials in clays. That technology is in our IP portfolio, but we're not - we don't currently have any plans to advance it, with what's happening in the lithium industry, certainly, that could surface up to a priority.
Zach Spencer: Corrado, can you please give us some more details about the governmental grant and loan opportunities?
Corrado De Gasperis: Yeah. So the Department of Energy Scott plethora [ph] of grand opportunities. I mean almost overwhelming in the number of them. They're coming out for both battery metal recycling, as well as for cellulosic fuels and biofuels. When we saw the grant that I was referring to earlier in the call, it was very complementary to what we're already doing. We have foundational ability to produce biofuels today from woody biomass and the DOE was looking for opportunities to produce drop in fuels which we were already advancing from a single feedstock source, particularly lignocellulosic/woody biomass sources. So it was very hard for us to pass putting in an application for something that is our core competency. It wasn't really a no-brainer though, because we're so close to commercializing our tax. We had to stop and think about how would this be additive to our portfolio. And as we assess the opportunities and assemble the coalition of partners and technologies, we saw an opportunity to not only add in a way that enhances what we have, accelerate in a way that speeds up our commercialization this grant. Now, having said that, just the dialogues that we've had with the industry partners, just the agreements that we're outlining and fermenting are remarkable. If we didn't apply for the grant, we're already light years ahead on just the facilitation. So we're grateful about that. But I think to answer the question differently, there's more and more of these grant opportunities coming up. And there's an even more enormous number of loan guarantee opportunities coming up in this biofuel space. It might be battery metals, and bio fuels might be the hottest space, you know, in the government right now. I can't I can't think of anything that's coming close from what we're seeing coming out of the government.
Zach Spencer: Corrado, we have a follow-up to Bioleum. Could you expand on how Bioleum compares to existing fuel solutions using other feedstocks?
Corrado De Gasperis: So basically, there's a number of comparable points. I mean the first one is that there is a very, very high cost to using the vegetable oil - that most of the biorefinery projects are being constructed for. And there is - there are dozens of biorefinery projects under construction, all of which are targeting vegetable oils as their feedstock. These costs are very, very high. David Winsness reviewed some of those costs at the Annual Meeting. So to say $5, $6 a gallon is not an exaggeration. That's number one. Number two, they're not plentiful, if you just look at the allocation for these biofuels, there isn't enough of these vegetable oils to sufficiently supply a fraction of the biorefineries that are being constructed. It's a little bit of a head scratcher, where everybody is super motivated for biofuels. We understand that, right? But they don't have sufficiency of feedstock. Thirdly, it inherently competes with food supply. So we don't think it's anywhere near an optimal solution to be using farmed vegetables for a source of energy. On the contrary, there is an abundant of woody biomass that can be procured at a fraction of the cost. So in our opinion, the constraint that's blocking the prevalence of these biofuels is a technology that can efficiently convert these woody biomasses into biofuels. So we think it's not only a breakthrough, it unblocks literally a global problem.
Zach Spencer: And Corrado, following me up on that. Can you please describe the development plans from pilot to commercialization within cellulosic fuels?
Corrado De Gasperis: Yes. So we already have an existing 2 ton per day pilot in Wisconsin. It enables the production of carbon neutral pulp and cellulosic sugars, which are easily converted into cellulosic ethanol. We can produce bioleum as a simple byproduct, the other half of the woody biomass that's not cellulose for energy usage. So we already have a commercial-ready model that's profitable, making cellulosic ethanol and using the byproducts even if it's just for subsidized carbon low power. What we're planning to do is build a pilot that will go all the way to cellulosic sugars and all the way to bioleum, showing and demonstrating the higher yields that we can achieve and then testing and piloting the ability to take those materials to drop in fuels. So if we're looking at bringing that up and running by mid-'23, we can start working and operating by the end of 2023. Then you're looking at 2024 and 2025 before you're scaling and commercializing. The fact that we can already do it profitably allows us to start a large number of activities like assessing sites, like securing feedstocks, like engineering and design and capital estimates, like third-party validations of all of the aforementioned, which positions us to move very, very quickly from pilot to scale to commercialization. If we didn't know it was economically viable, then all of those things would be on hold until the pilot prove that. What our pilots are trying to do is expand that, is extend that, right? So that we have the highest yields and the highest values from the fuels that are in most demand. But even then, we'd be able to produce diesel, aviation fuel, marine fuels, bio gasolines, a plethora of biofuels with a very nice product mix and/or enable our customers and our strategic partners to use those fuels using our bio intermediaries. Both scenarios are incredibly high returns on our investments and our profitability.
Zach Spencer: Corrado, we have a few finance questions. When will the company become cash flow positive, when will funds need to be raised? And what form will it take, equity sales or more project financing? Thank you.
Corrado De Gasperis: Yeah. So look, each one of our platforms result in profitable operations. So our first facility for battery metal recycling would be profitable. Our first bio intermediate production would be profitable, if we went all the way to bio refining of fuels would be profitable. So the view is that we will use our equity judiciously between now and getting these pilots fully up and running and demonstrable. Once they're demonstrable, meaning we can demonstrate it, people can kick it. People can see it. And more importantly, third-party engineers can revalidate it. Then the bonding of those facilities and the project financing of those facilities will not only be straight forward from, let's say, the financial community. There's also a very, very strong demand from strategic partners. If you think that there's all these biorefineries that are being scheduled and built, and they're not going to have the feedstock to run full or even to run it all. There's motivated partners out there, and we're hearing that already.
Zach Spencer: Corrado, given the company's recent stock performance, what are the 1 or 2 catalysts that will significantly impact the stock price.
Corrado De Gasperis: We're very disappointed with the stock performance. We think that our ability to validate the things that I just mentioned, both right for cellulosic fuels and for LINICO. They're worth repeating, right? Our ability to validate and show the production of pure black mass, which we've already done with serial number 1, and we're enhancing for serial number 2. Our ability to announce the purities and of our ability to extract lithium will have a meaningful impact on the market. Now obviously, getting the permits that pave the way for us to get these things up and running here in Nevada, strong, strong, strong catalyst, strong milestones. On the bio side, not only demonstrating the ability to produce these bio intermediaries, both the cellulosic sugars, which we can do today and the bioleum and then proof and validation of the yields that these biofuels will come out of is very, very powerful. And maybe most importantly, the agreements that we're looking to sign here with offtake partners. So that will demonstrate the confidence in technology that will demonstrate our commitment to deliver and that will demonstrate a very specific revenue stream, which we'll also add to and facilitate the financing that we talked about earlier. So the market has been brutal. The timing for us is not great. Our share price could not be more disappointing to us. But the foundation is solid. The progress on these pilots is remarkable, being able to see the yields, being able to see the efficiencies that each one of our systems are capable of doing relative to anything that's known or out there in the market, our confidence is supreme on this front. The DOE facilitating engagement with these third parties, the reaction there to was overwhelming. We didn't only identify 7 major partners in our applications, right? We had to choose between the ones that we thought would be most effective in this process. That was delightful.
Zach Spencer: Corrado, could you explain the significance of your recent patent announcement? When will it be awarded?
Corrado De Gasperis: The patent, we filed the provisional patent. It was enormous. It was enormous in its scope, and it did two things, right? It filed to ensure our protection and our freedom of use of our technology for the composition of certain Bioleum and the process for producing it. So it's both process and composition were included in our patent. We also did an enormous search of all prior technology, all prior patent filings. The things that were out there that we thought could block us, could trip us up, and we didn't find anything at all. I mean there's nothing material. It was almost a competitive analysis that reaffirmed the novelty of our position. And so we were calling it for a while internally the umbrella patent, right? Because we wanted to make sure that it not only covered the breakthroughs that we see here now with the bioleum and the yields that come from that. But also the whole landscape of what we're planning to do in this industry.
Zach Spencer: Corrado, how would you characterize as your ideal strategic partners for each of your businesses sources of funding, offtake, marketing and distribution, technology, or all of the above?
Corrado De Gasperis: In the cellulosic fuels, it's almost all of the above. There's already extraordinary suppliers, right, of some of the catalysts and the enzymes that are required in the industry. We have incredibly good relationships with them, and they're the global leaders. There's technology partners that can help us advance, we make no mistake, where the enabler that unleashes, the volumes, that unleashes the yields that enables and unblocks the bottleneck in the industry. That's our technology. But there's no reason on a complementary technology couldn't enhance the yield of diesel or enhance the yield of aviation fuel. And absolutely, customers not only that are willing to take offtake, but to work with us to validate the materials and let the rest of the markets know that what we have is of high quality and high efficacy. So I think of it that way. In the in lithium battery cycling, it's really about feedstock more than anything else. And what I love about our competency - and what I mentioned earlier is the fact that we have the ability to design handle hazardous materials, engineer, manufacture right, and manufacture in a way that's scalable. We have this 5 ton per day crushing and separating conditioning system. It could be 80 tons, it could be a 100 , it could be 3 tons a day, it could be 2 tons a day, it could be 15 tons a day. We have the ability to engineer our solutions manufacture them and deploy them. It gives us an incredible capital cost advantage, and it gives us an incredible speed advantage.
Zach Spencer: Corrado, you may have already covered this, but could you speak a little bit more about the time frame of the various [pilots?
Corrado De Gasperis: Yes. So we got to the crushing and separating system up and running in May, produced black mass. We showed a video of that during the annual meeting. We've revised and upgraded from an engineering perspective, all points that we thought could stand for improvement. So what we're in the process now of doing is finalizing those engineering’s, finalizing the procurement of some of the upgrade components planning to get all of that to Nevada realistically, from a timing perspective. Our air quality permit needed to be modified for those changes. As I mentioned, that was a few months of delay. We're going to try to file that permit this month, early September at the latest, which probably puts us in the second quarter of 2023. For the other pilot for different reasons, right? We're also looking towards the middle, right, of 2023 and not the third quarter, maybe early third quarter of 2023. So what's outstanding is that there is a tremendous amount of work to do right, from between now and then on all aspects of the supply chain, while in some cases, where we have long lead times for equipment., in some cases, we have lead time for permit. In other cases, we're working on feedstock and supply agreements. I think it's all going to come together very, very nicely mid next year, and we'll accelerate and scale from there.
Zach Spencer: Corrado, can you please provide some more details on the agreement with [indiscernible] and also just give a basic overview of how that works?
Corrado De Gasperis: Absolutely. So as the market started to come down, I just thought that it would be prudent to secure additional liquidity if we needed it. There's a lot of funky things out in the market, and we don't like funky things. So it was really positive for us that an investor was willing to invest $2 million at market price, no discount with restricted shares that tells us that the investor wants to stay and be an investor. And so we did that deal $0.65 share price wasn't exciting to us. It's a low share price. But considering where the market was, we welcome another strong investor that came in with restricted shares. And then we just structured the ability to get another $10 million of investment as we would need it. And so that is in contemplation of the work that we're doing between now and the middle of next year to get these pilots are built to get them commissioned and to get them up and running.
Zach Spencer: Corrado, can you please provide some more details about the company's relationship with Aqua Metals?
Corrado De Gasperis: Yes, Aqua Metals is a minority investor in LINICO, and Aqua Metals is a partner in the sense that they have entered the lithium-ion battery recycling business, people may or may not know that. They were previously doing a very similar thing in lead battery metal recycling. And so we're working very, very diligently, they're public companies. So everything they're doing everyone should be aware of or can be aware of to develop a solution and downstream solution that takes flack mass and is able to produce pure nickels, pure cobalt, maybe even some lithium products. So that's exciting for us. We have an ongoing collaboration since we're both owners in LINICO. And I think at the annual meeting, we talked about 3 downstream scenarios for us. One was our own ability to extract lithium, which I've talked about already at lengths today. Second is Aqua Metals downstream ability to extract some of the other battery metals. -- and Green Li-ion, which we have an investment in, and has downstream capabilities to produce cathode active materials, precursor cathode active materials. So it's pretty remarkable what's happening here in Northern Nevada, right? We are seeing our ability to take these pure black masses in a number of different directions. We're probably not going to do all 3. We're certainly going to do one. We may do 2 of the 3. We'll see how it plays out. All 3 are in development. All 3 have promised. And so we'll let that process play out. It will play out timely for us as we're building our system and the front end, which we believe is the critical part of ensuring the growth of the business.
Zach Spencer: Corrado to the extent possible, please provide a preview of some announcements?
Corrado De Gasperis: Well, I think I laid it out, right? The near-term objectives for bioleum, we're talking about building a coalition, we're talking about announcing partnerships. We're talking about announcing offtake agreements, and we're talking about deploying an expanded of biomass pilot facility. So that's very exciting on all fronts. And from LINICO process, we're talking about receiving major permits, revising and deploying and commissioning the pilot facility and starting to produce not only black mass, but also ultimately lithium. Now we'll have news on our abilities to produce lithium sooner than we'll actually be deploying the system. So that's good. We'll be openly talking about those updates as we go. The only other news from corporate side is the highly probable and very, very active closing on the Silver Springs properties. I was trying to convey earlier that the fund is engaged with large investors and large companies. There are large companies coming into the area beyond Google, beyond Redwood, okay. It's really remarkable what's happening. Silver Springs is finally starting to get real traction, direct traction. So big news for us is $20 million of cash coming into the treasury over the course of the next quarter.
Zach Spencer: Okay. And we do have a follow-up question the co-list [ph] and how soon will that occur?
Corrado De Gasperis: So we're in ongoing active discussions like literally every single day for the last 3 or 4 weeks. A lot of it has been rallied around this one grant. Ironically, the grant is a very, very small sliver in how those conversations are expanding. I mean we have some folks saying, why are we bothering with the government grant, we can do this together right now. And in that context, we're scoping the grant to not be silly, right? Like we're scoping the grant for what we believe is large, large upside with a longer lead time and we're not scoping in the ground, things that we can do with our partners sooner. And so it's 9 days. I mean, the last 2 months have been exerting the response has been I mean, just truly remarkable. And I think it validates what we're doing. It validates our TAC. I mean these conversations are not, hey, we can make fuel out of wood. What do you think? I mean they're highly technical. They're engaged with the top technology officers of all of the companies that we're talking about. These companies are not small. -- they're big. So for us, it's been really a validator. We haven't learned anything new about ourselves, but I think a lot of people are learning more about us
Zach Spencer: Corrado, what revenue will the company see in 2022 and what revenue will the company see in 2023?
Corrado De Gasperis: Look, so we think that there is opportunities for not only producing and selling black mass in 2023. But also with some of our partners, enabling that and in some of our solutions on the cellulosic fuel side, okay? We're not going to see a first biorefinery in 2023 will see this year, offtake arrangements. And once those offtake arrangements start locking in, the plans for producing that offtake will accelerate because they're a critical prerequisite for not only finalizing size and scale of what we're going to do, but also the financing. So we're thrilled at the progress. It's in the right sequence, and it's all happening.
Zach Spencer: Corrado that does it for our questions. I want to thank everyone for submitting their questions. And I'll turn it back over to you.
Zach Spencer: Thanks. I want to thank everybody for your time and attention. We announced after the market closed purposely to allow our investors to digest our 10-Q, to digest our press release and have the benefit of all of these discussions before the market opens. We're very happy to have follow-ups. As always, if you have any questions or concerns, please don't hesitate to paying us or reach out and we'll be responsive. Thank you very much.